Operator: Good day, everyone. And welcome to today's Kimberly-Clark de Mexico 1Q '25 Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, you will have the opportunity to ask questions during the question-and-answer session. Please note today's call will be recorded, and I will be standing by should you need any assistance. It is now my pleasure to turn the conference over to CEO, Pablo González.
Pablo González: Good morning, everyone. Thanks for participating on the call. We have a few things to share with you today. To begin, we'll go straight to results and then we'll make some brief comments about the quarter and our expectations going forward, as well as describe some important initiatives underway. With that, let me pass it on to Xavier.
Xavier Cortés: Thank you, Pablo. Good morning, everyone. During the quarter, our sales were MXN13.8 billion, a 0.3% increase versus the first quarter of 2024. Total volume was down 1.3% and price mix was up 1.6%. Consumer products and away from home decreased 1.4% and 4.2%, respectively. Exports were up 21% with double digits increases in both converted product and hard rolled sales. Cost of goods sold increased 7.4%. Against last year, SAM and resins were favorable, recycled fibers were relatively flat while virgin fibers and fluff compared negatively. The FX was significantly higher averaging 22% higher. Our cost reduction program once again had very good results and yielded approximately MXN450 million of savings in the quarter. These savings are mainly at the cost of goods sold level and are generated by sourcing, materials improvement and process efficiencies. Gross profit decreased 9.4% and margin was 38.2% for the quarter. Mix was negatively affected by lower margin hard roll sales. SG&A expenses were 5% lower year-over-year and as a percentage of sales were down 94 basis points. Distribution expenses are down as our investments to improve our footprint and streamline our logistic operations are yielding positive results. Operating profit decreased 12.5% and the operating margin was 21.5%. We generated MXN3.5 billion of EBITDA, a 10.9% decrease despite the 22% peso depreciation against the first quarter of last year. As we had anticipated, even with the significant peso depreciation, we were able to maintain our EBITDA margin within our long term objective at 25.1%. Cost of financing was MXN295 million in the first quarter compared to MXN315 million in the same period last year. Net interest expense was lower because of less debt. During the quarter, we had a MXN14 million FX gain, which compares to a MXN1 million gain last year. Net income for the quarter was MXN1. 8 billion with earnings per share of MXN0.60. We maintain a very strong and healthy balance sheet. Cash position as of March 31st was MXN11. 8 billion. We have no debt maturing in the next 12 months and maturities for the coming years are comfortable. Net debt-to-EBITDA ratio is 0.9 times and EBITDA to net interest coverage is 11 times. Thank you.
Pablo González: Okay. So top line for the first quarter was in line with last year. The bottom line and margins were lower but importantly, still within our target range despite significant uncertainty, raw material cost increases and very negative exchange rate as Xavier described. As we've said before, this reflects the strength and resiliency of KCM. On the top line, we're facing a challenging environment with the current economic indicators signaling a slowdown of the economy and private consumption. The key indicator for us is that volume growth in some of our most important categories is muted and even the high growth ones we've seen a deceleration. This was our base case, although, it's been slightly more pronounced. And together with our clients' strict management of their inventories given the uncertainty meant we experienced headwinds for the quarter. We expect this trend to continue during the second quarter given robust comparisons, but we see growth accelerating during the second half of the year. Market shares are steady or increasing and we continue to be focused on accelerating our innovations, and I'll have more to say on that in a moment, increase the investment behind our brands, take advantage of the opportunities we've identified and efficiently execute our commercial programs. With respect to costs, the exchange rate for the quarter was 22% higher and at current rates would be approximately 23% higher for the second quarter. In addition, some of the expected relief in pulp prices did not materialize, particularly in softwood pulp and fluff, which are at record levels. Going forward, we would expect higher dollar denominated costs on tissue raw materials, that's pulp and recycled fibers and mixed on personal care ones, higher fluff and resins but lower super absorbent costs. Having said that, it's clear that the lack of certainty and many different moving parts, including tariffs for which we have not experienced cost increases so far, could change the outlook. Accordingly, we will continue to carry out selective price increases and we are on our way to achieving record savings for the year. During the quarter, we increased prices in various categories and channels and currently we are in the process of carrying out additional increases. As we've said before, these are not across the board but rather based on the consumer and competitive landscape. We'll be closely monitoring the exchange rates and the impacts of tariffs or other policy changes, the competitive dynamics and will adjust as necessary. On the other hand, supported by KCM's continuous active and aggressive cost reduction culture, we are on target to have record savings for the year ranging from MXN1.8 billion to MXN2 billion. Further, we are working on additional opportunities for the 2026, 2027 timeframe, which include further manufacturing footprint optimization and supply chain efficiencies. Cost reduction culture will continue to yield important savings. Now let me turn to innovation and some important initiatives I want to share with you today. As we've said before, when thinking about the medium term, we continue to project a base growth rate in the mid single digits, consistent with our trajectory, supported by our core categories and our strong and accelerated innovation pipeline. With respect to innovation, this past quarter, we launched a super premium diaper, Huggies Black Label with a new absorption technology and soft term hypoallergenic materials to protect the most sensitive baby skin. We improved almost all our baby wipes lineup, increased the dispensing area, the size of some wipes as well as strength and introduced the softest dependence among other product improvements. For 2025, we will launch product improvements in every category in which we participate. And in the coming years we will bring to market technologies and products that we have no doubt will increase consumer preference for our brands. We're very, very excited about our plans on innovation. In addition to base growth rate, in the coming years, we expect to have to grow by, one, achieving double digit growth rates and increasing the participation in total sales of categories with higher potential, like wipes, kitchen towels, facial tissue, incontinence, wipers and experts, as well as through adjacencies or entries into new categories. With respect to adjacencies, the recent integration of [indiscernible] Global into the operation of KCM will create opportunities to strengthen our position and capabilities in the soap and the toiletries categories as well as to participate in shampoos. This currently account for a little over MXN2.5 billion in sales and in the next three to four years could exceed MXN4 billion. Now when it comes to new categories, we're excited to share with you today that we are entering the pet food business. Let me briefly talk about why and how? Why? We're following an important consumer trend. The pet food category is not only a big category with an estimated retail value of MXN65 billion but also a growing one. It is expected to have CAGR of 7% over the next five years. And although there are important players in the category, consumers' needs continue to evolve as pets are considered family members and in many cases play a fundamental role in people's lives. There is still much to do for consumers and their pets and we're confident we can play an important role in meeting their needs. We will build on KCM's proven capacity to take care of the personal needs of people, babies and now complete families. How? We are partnering with Grupo Nutec, the market leader in pet food sold through the specialty channel and veterinarians. Nutec has world class technology and processes to determine what's best for pets and we have the commercial capabilities and breadth. Together, we will be launching a premium and a mainstream brand, [Prime Care] and Apapacho respectively, each with clear and important differentiators versus current market offerings. We can't get into all the details in this call but the team is ready to discuss with you further. I will only add that this is a project that will yield results in the medium term, not immediately, that it eventually could provide opportunities outside of Mexico, both diversifying our portfolio and geographic presence. Let me finish our prepared remarks highlighting that our shareholders approved a dividend payment of MXN2.04, a 10% increase from last year and a stock repurchase plan of MXN1,500 million, a 50% increase from last year, which together yield approximately 8%. This is consistent with our shareholders' friendly distribution policy and we believe very attractive in any environment and particularly during this uncertain times. With that, let me turn to your questions.
Operator: [Operator Instructions] We'll take our first question from Ben Theurer with Barclays.
Ben Theurer: Just a quick follow-up and then actually one I prepared, but one was more of a surprise now. On that announcement you just made with Grupo Nutec and you said it's obviously going to be more of a medium term thing. How should we think about this? Is this going to be somewhat like a 50/50 JV that you're going to consolidate, who's going to lead on this? Just maybe a little bit more detail as to how you think about this evolving within the broader KCM offering and leveraging and ultimately your customer relationships? That would be the very first one. And then the second one, can you remind us -- you had I think done for the first time hedges at a higher level than where we are right now. Just help us what FX rate versus what is cost versus the hedge we should use to assume for the rest of the quarter, because you gave it like current rates but just to understand a little bit the composition here. Those would be the two questions I have.
Xavier Cortés: I'll take the second one quickly. We have purchased for approximately 50% of our purchases for basically the remainder of this second quarter at a level slightly above 20.70.
Ben Theurer: Half of it is 20.70 and if it's 19.70 the other half would be 19. 70, that's how we should think about it, correct?
Pablo González: Correct. And then on the first question, Ben, again, very excited about this. As I mentioned, Nutec is a premier manufacturer of high quality pet food and nutritional components in Maxico and the leader in the specialty and veterinarian channel. So of course, they have great knowledge of the category, particularly the processes to meet the needs of pets. And very simply, Nutec will develop and manufacture and we will market and commercialize the product. And together, we will invest to support this launch and support this introduction of the products in the coming years. So again, very, very excited with this. As I mentioned, not something that will have an impact early on. But as we invest behind our brand and position in the market, we believe going forward this will become a very relevant category for Kimberly-Clark de Mexico.
Operator: We'll move next to Bob Ford with Bank of America.
Bob Ford: Pablo, just could you comment a little bit on the question of the deal with Nutec, the investment and whether or not there's a path to control? And with respect to the price increases that you mentioned, can you just give us a sense of the magnitude of the pricing that you're taking? And then lastly, with respect to tariffs, how is Kimberly-Clark Corp thinking about international sourcing given US tariffs on China and the risk on Mexico? And of the products and processes, which were sourced in China, which make the most sense possibly to consider shifting to Mexico?
Pablo González: So pet prices and tariffs, let me take them in that order. Again, right now, what we have is a relationship, like I said, where they develop and manufacture the product and we market and commercialize the product. And together, we invest to support the brands. So it's a very simple structure at this point. And going forward, we'll see, because again, we have -- we believe that as we position the brands and become a relevant player in the category in Mexico, this could provide opportunities outside of Mexico, so both diversifying our portfolio and geographic presence. And then, our relationship could take a different form. Right now with this -- it's very, very simple, they manufacture, we sell and we both together support the brands. When it comes to prices, I mean, as I mentioned, we implemented some prices not across the board in the first quarter, some of them will start to be reflected here in the second quarter. It's going to take a little longer for them to reflect, because we're catching up. And by that, I mean that late in last year prices in some of our categories decreased given the softness of the market. So we're catching up to the prices of the first quarter -- of the first half of last year but we'll see something in the second quarter. And further, we're in the process of implementing some other price increases, again, selectively. But we believe that when it's all fully reflected and we'll see that in the second half of the year, we'll see a net impact of about 3% to 4% with respect to pricing. Then when it comes to tariffs, I mean, as I mentioned so far, we have no impact from tariffs beyond the externalities, mainly in terms of volatility and uncertainty. Nevertheless, we have been preparing ourselves to reduce our exposure to countries where we think there's more risk on the one hand, and we have a clear plan on that. But on the other hand, there is also a positive side to this. There could be opportunities for additional volume to replace some product coming into Mexico that may be from China and certainly some further increases in our exports that we support our partners. So we continue to talk to them and work with them in different areas and opportunities. And we hope that that will translate in further export sales to our partner. I don't know this quarter but certainly by second half of next year and again, working on strengthening the supply -- the North American supply chain together with them. So some challenges because of tariffs but also some opportunities that we're moving on fast to take advantage of.
Bob Ford: And then just one little follow-up and that is your partners today, if I understand correctly, are importing about 20% of their needs in the US and Canada. Is that fair and that's the magnitude maybe of the opportunity that exists, if not a little more?
Pablo González: From what I understand, Bob, about 20% of raw materials come from outside the US and they're certainly importing some finished product. I wouldn't say that the magnitude of the opportunities is that whole part of the pie, if you will, when it comes to finished product, because they certainly have some other options around the world to source from. But we have continued to work with them and continue to grow our business with them and become a very reliable, cost efficient supplier to them. And again, as we think of the overall North American supply chain, we believe that this very uncertain situation certainly brings about some very interesting opportunities for KC de Mexico and KCC to work together even further.
Operator: We'll take our next question from Antonio Hernandez from Actinver.
Antonio Hernandez: Just could you provide a little bit more light on how was sales trending during this quarter, was it soft start in the quarter and then you finished a little bit stronger or how were they trending in the quarter?
Xavier Cortés: Yes, I mean, January was a -- let me put it this way. We saw a somewhat soft January, a very soft February, which of course has one less day and that always has an impact, but February was particularly soft and then we saw improvement in March. Now hard to say whether that will be the trend. As I said, we do expect the second quarter to continue to be challenging, because we are seeing softening of consumer demand given all the uncertainty that we're going through. And notwithstanding what category we look into, we're seeing that softness. Of course, this all compares with a very strong first half of last year, not only for us but economically, it was a stronger first half given remittances, salary, mass, all the social programs and of course, all of the investment behind the elections. So you've got that comparison going. But there's no doubt the economy has been softening. Hard to say again whether the improvement in March is a trend. We expect second quarter to continue to be tough and hopefully, we'll see better conditions in the second half of the year.
Antonio Hernandez: And just a quick follow-up. I know that you already provided the volume versus price mix breakdown, if you could provide that that would be helpful.
Xavier Cortés: Particularly on consumer products, which as we said, the sales decreased 1.4% overall. Volume was down that 1.4% while price mix was flat. Now when you look at it sequentially, consumer products grew 1.4% but that was mainly due to prices, which were up 3%.
Operator: We'll take our next question from Joseph Giordano with JP Morgan.
Joseph Giordano: So going back to the Nutec partnership, I'd like to understand like what would be like the potential CapEx needs or capacity expansion into this investment? And I know, it's more of a mid term thing, but looking at what happened in Brazil, we saw like this business actually scaling up very fast and gaining a lot of market share. So my question to you is when I mean in the mid term just to try to time that into the model, we should be assuming that this contributes to revenues? Last but not least, thinking on the working capital side, I would like to understand if you see any incremental room to improve there.
Pablo González: We don't expect early on, of course, that there would be any need for additional capacity by our partner, Nutec. We've been working with them for about year and a half and they've got enough capacity of what we believe will be the early stages of this launch. Of course, as we position our brands and grow them, we do expect that they'll need additional capacity and they're ready to bring it onto market. And I mean it's hard to say again, this is a medium term plan. It will take a little while for us to get into the market to position our brands and for this to have enough scale to be meaningful for our results. But we do expect that, say, in five years or so, it will be a more meaningful part of Kimberly-Clark de Mexico and maybe be within our top five or top six businesses within KC de Mexico. And then when it comes to working capital, of course, there's always opportunities to improve. And as you know, we've always been very efficient in finding and executing behind them. But I don't know if Xavier you want to add anything there.
Xavier Cortés: Just let me add one thing on the CapEx of Nutec. As Pablo said, this is an evolving process. Right now, our partner supplies the product and if there is CapEx needs, they could invest behind that. So it would not represent CapEx requirements for us, again as the partnership is set up today and nothing else on working capital. As you said, there's definitely always opportunities there. Let me just say, they're not going to be significantly meaningful. We're not expecting working capital to be a big source or use of cash in the near future.
Operator: We'll move next to Eugenia Cavalheiro with Morgan Stanley.
Eugenia Cavalheiro: I would like to know if you could explore a bit more the dynamics and the competitive landscape that you're seeing, particularly in the consumer products sector in Mexico. So if you could give us a bit more details on how competition has been behaving and how are you being able to pass along the price increases, et cetera, that will be great.
Pablo González: I would say we haven't seen much more promotional activity that we saw late last year. It's still similar. What has happened certainly is that as we've moved on pricing, competitors have lagged. And so far we haven't seen them move along. So it's taking them a little bit longer and we suspect that has to do with, again, the soft consumer environment. Now it's going to be interesting to see what happens here in the coming quarters, as you know, as we get into the heavy summer promotional season and see what they come up with. On our end, we're going to be less aggressive than we were last year, because what we're seeing is that demand is not necessarily there. Again, it's pretty soft. And when you promote the pick up in sales is not as it -- we're not seeing strong pick up in sales. So we're going to be a little bit more careful in how we approach it and also to take care of the value and health of the categories going forward. But we'll see how they react and of course, we'll be ready to respond as necessary. So far, no big changes on the promotional side but competitors holding back on price increases so far.
Operator: We'll take our next question from Juan Guzman with Scotiabank.
Juan Guzman: Just a quick follow-up here regarding the deal with Grupo Nutec. So it sounds to me basically, this is a distribution agreement, right, that you're starting to pilot in and maybe you'll find some optionality in the future to invest directly in this business. So correct me if I'm wrong in how I'm categorizing this. So first of all, when do you plan to implement it, this first pilot? And you mentioned that in five years we'll see some more relevance of this business. So what's incremental revenue or profitability you're expecting from it if you can share that? And how accretive do you see this business? And in addition, obviously, you won't be producing the manufacturing the product but would you need to make some additional investments to your distribution and go-to-market platform to commercialize these products? And finally, as you're entering this -- kind of these agreements, are you exploring on signing other distribution agreements with other partners in the future? There were so many questions but that will be it from my end.
Pablo González: Let us try and answer them. If we missed one of your questions, please let us know because as you said, there were quite a few in there. But I think initially, yes, what you mentioned is almost correct in the fact that they will be manufacturing, we will be commercializing. But the additional thing we got going is that we will both be investing to position the brands and to support this business going forward when it comes from a promotional and publicity standpoint, so from A and B standpoint. So very simple combination. But they do have, let me put it this way, not only skin in the game in terms of manufacturing the right product but they're also investing to make sure we position the products correctly. Now this is early on, not a pilot. As you mentioned, this is a launch and we will be participating in this category and product should be reaching the shelves in the next weeks, maybe month. And again, it's two different products, a mainstream product called Apapacho, which will have a dog food as its main component and then a super premium offering, which is [Prime Care], which will have both cat and food offerings out there. And again, we'll launch this way and we'll see how it evolves and certainly the relationship with Nutec can also evolve going forward. But we believe this is the easiest most efficient way to start. And then as we get into it and again position the brands and grow we'll see where the relationship takes us. Now hard to say and we wouldn't want to say quite frankly at this point in terms of pesos what we'll be selling in five years' term or what the profitability of this will be. Of course, profitability initially will be hampered because of the investments we're going to make. But we believe over time profitability can be in line with margins we have at Kimberly-Clark de Mexico. But again, it will be evolving. All I can say is we're very serious about this. We think we have the right partner. And again, their processes together with our commercial expertise we believe is a powerful combination. And we'll have more to bring to the market and we'll continue to build on this relationship going forward. Additional investments with other companies, sure. I mean, we've been exploring quite a few things. This we've been exploring for at least year and a half and we finally came to the conclusion that we had, again, the product, the partner and everything ready to go. And -- but we'll continue to look for additional opportunities that might be out there so that we can strengthen our growth capabilities and profitability in the medium to long term.
Juan Guzman: Just a quick follow-up. So obviously, there will be an investment phase in the short term. Do you see it impacting your results or the size is still too negligible to see a real material impact in your results in the next few quarters?
Pablo González: Let me put it this way. It won't be negligible, because we're serious about investing behind these brands but it won't be material.
Operator: [Operator Instructions] We'll move next to Jeronimo de Guzman with INCA Investments.
Jeronimo de Guzman: I had just a bunch of follow-up questions from what you said. In terms of Nutec, your new agreement, just wanted to understand. So does Nutec have any brands right now or are they just a producer of pet food and then kind of what you bring is that you have that expertise and brand building and distribution?
Pablo González: They have brands in the specialty channel and they'll continue to sell directly to the specialty channel and the veterinarians, which we don't have any reach to those. So they'll continue to sell there and we'll be selling into all of modern trade and wholesale with different brands.
Jeronimo de Guzman: And so you said that you don't expect as much OpEx pressure going forward. Have you already had some OpEx pressure from this kind of over the last year?
Pablo González: No, we haven't had any OpEx pressure from this. Again, we're just -- over the past year, we've just been working with them to put together the plan but we're just launching at this stage.
Jeronimo de Guzman: And so in terms of the -- I guess, I'm trying to get to ultimately kind of how you're seeing the margins going forward. So you're still kind of within, in the first quarter, within your target range, kind of on the low end of your target range. But there's a lot of moving pieces, right, in terms of the pricing, being a little bit more cautious on that, the OpEx did look better. So wanted to kind of see how that continues but then at the same time the FX. So a lot of moving pieces. So I just wanted to hear your thoughts on how you see the margins evolving going forward.
Pablo González: Let me put it this way. With what we see right now and that's a very important caveat, for the year, and that's another important caveat, we should have margins within our target range. If things given the uncertainty change in an important way then we'll have to see about that. But given what we see right now for the year, we should be between the -- in the range, which quite frankly, we believe, as I mentioned, shows a resiliency of the company, because given the cost scenario and the exchange rate scenario and the uncertainty scenario, the fact that we can maintain our high margins on the 25% to 27% range, we believe speaks volumes as to the ability of the company to produce results. So for the year, we do expect that to continue currently.
Jeronimo de Guzman: And then just more on those details. Your OpEx did look tighter this quarter. Just wanted to see if there was anything in particular that helped and kind of how you see that going forward, especially if you might have a little bit more pressure from the launch as a pet food category?
Xavier Cortés: Do you said the OpEx was higher this quarter?
Jeronimo de Guzman: No, tighter -- lower, yes, that you had a much more…
Xavier Cortés: Yes, it was lower mainly, because of the results that we are seeing on distribution and logistic expenses. And hopefully -- not hopefully, those will continue yielding results. I couldn't expect any pressure on OpEx. And let me be very clear, I couldn't expect pressure on OpEx on the launching, because even though we will be investing behind the new brands, number one, if you put together what we will be investing with what we invest in the rest of the businesses, as Pablo said, is not going to be negligible, because it's important but it's not going to change the equation. And second, we're going to be investing but we're also going to be selling and having some profits this year. So I couldn't factor any significant OpEx pressure from the launching this year.
Jeronimo de Guzman: And then on pricing, you mentioned 3% to 4% in the second half. Is that kind of year-on-year in the second half or the average that you expect for the year for the pricing?
Xavier Cortés: That's probably what we'll see for the second half.
Jeronimo de Guzman: One more question on competition. Just given kind of what you're seeing in volumes still being weaker. How are you seeing market share trends, are you seeing kind of you're losing some market share and some to any other competitors or to private label or anything like that that we should be aware of?
Pablo González: No, and thanks for asking that, because as I mentioned, the growth of the categories in many is muted and some has decelerated, but our shares continue to be strong. We've seen no -- for the most part, we're even or higher than last year at this point. So our shares are strong, they're fine.
Jeronimo de Guzman: And are you seeing any shifting within the price points or within the categories and any down trading, anything like that?
Pablo González: Not in an important way, really. I mean, so far, the effect of the mix movements has been negligible. I mean, we have observed in some categories some shift from value to economy products while premium segment remains strong, but only in some categories. Overall, our mix was actually positive for the quarter.
Operator: And it does appear that there are no further questions at this time. I would now like to turn it back to Pablo González for any additional or closing remarks.
Pablo González: No, nothing more to say. Just thank you all for participating in the call. Again, the team is ready to answer any further questions you might have on the results or on launch of our business into the pet food category. And looking forward to talking to you again. And again, thanks for participating.
Operator: This does conclude today's program. Thank you for your participation. You may disconnect at any time, and have a wonderful afternoon.